Operator: Good day, and thank you for standing by. Welcome to the Goodman Group FY '26 Half Year Results Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded [Operator Instructions] Joining us today is CFO, Mr. Nick Vrondas. I would now like to hand the conference over to your speaker today, CEO, Greg Goodman.
Gregory Goodman: Thank you very much, and good morning, everybody. Goodman Group has delivered operating profit of $1.2 billion for the first half of FY '26 as we continue to provide essential infrastructure in supply-constrained markets around the world. We're building into strong demand for city locations across both logistics and data centers. Large scale logistics customers are targeting productivity and efficiency gains through increased automation and consolidation. And data center customers require low-latency, high connectivity, which they are committing to with unprecedented levels of CapEx spending forecast across the sector. Goodman is set to benefit from these structural shifts given the quality and location of our sites, our power capacity and our track record of developing complex infrastructure. Power, sites and capital are critical to being able to build into demand and provide delivery certainty for our customers. Our power bank has grown from 5 to 6 gigawatts on sites we own across 16 global cities. The increase is primarily in Australia and Continental Europe. And importantly, we've been advancing planning and preconstruction works on sites around the world to provide speed to market. In the quarter, we commenced 90 megawatts fully fitted project in Sydney and we're on track to have data center projects, providing around 500 megawatts underway by June, taking work in progress to approximately $18 billion. We're also partnering with large investors to fund multiyear development programs. We established a $14 billion data center development partnership in Europe and $2 billion logistics partnership in the U.S. with one on the way in Australia. This is consistent with the capital partnering approach we've taken for over 30 years. Our engagement with data center customers is progressing well across multiple sites, with negotiations well underway to provide a range of deployment options. We expect commitments in 2026 as we commence construction on sites and others get closer to their ready-for-service dates. Enquiry and activity across several logistics markets is also increasing, and we expect this to translate into development activity over the next 12 months. I'll pass on to Nick for a few comments.
Nick Vrondas: Thank you, Greg. Let's turn to Slide 18 to run through the numbers in the usual way. We'll first cover the items that relate to our cash-back measure of earnings, which we define as operating profit. As usual, this excludes unrealized fair market value movements on properties, mark-to-market of hedges and the accounting fair value estimate relating to our employee long-term incentive plan. These are the items at the bottom of the table that get us to the statutory profit. Our operating profit for the half of $1.2 billion was a little higher than we had expected when we spoke to you at the September quarterly. We had early timing of development and performance income recognition in the half, which were not expected until the full year. As you analyze these results, please keep in mind that FX movements had a $33 million negative impact on the translation of our foreign-denominated operating income before interest compared to the prior period. This was offset with a commensurate benefit in our borrowing costs. This is the result of realized costs on our debt and derivatives, which is how our hedging strategy is designed. I'll call out the impacts on the line items as we go. Looking specifically now at the movement in investment earnings. These are up by $54 million overall, and that's after a $5 million adverse FX impact. Direct property net rental income was $59 million higher. This was due mostly to the increase in assets held directly on the balance sheet following the reorganization of our investments in the Americas. If you go back to June 2024, we had $1.4 billion of directly owned assets. It got to $5.1 billion by June 2025 with the December '24 reorganization of our U.S. investments. It subsequently reduced to just over $4 billion with the creation of a new industrial JV in North America. So this was a $3 billion increase in the weighted average capital employed in this segment when comparing the 2 periods. The bulk of our investment income, which comes through our co-investments in the partnerships was down $5 million, mainly due to FX. The partnership reorganization and the other capital movements reduced investment income by $10 million, which was nearly totally offset by the $9 million contribution from the like-for-like income growth. Again, if we go back to June 2024, we had $13.7 billion of current investments. This reduced to $13 billion at December '24 following the North American reorganization. It then grew back to $14.7 billion at December '25, mainly due to the creation of the new partnerships. Overall, it's a reduction in weighted average capital employed of around $0.5 billion compared to December 2024 half year. Over time, we want to grow this part of the business as we continue to expand our portfolio of assets under management and our investment in it. The creation of new partnerships and the ongoing growth of the existing ones should support this. The portfolio remains 12% under-rented, and we see this continuing to support NPI growth going forward. There is scope for a significant portion of the directly owned assets to create new partnering opportunities over time. This will reduce our direct investments and NPI, but increase our co-investment income in partnership from partnerships and our management income. At the same time, it will provide cash to fund our expansion. Management income was $137 million lower than the prior corresponding half. Of that, a $5 million FX -- adverse FX impact was the main driver -- but the main driver was the recognition of transactional and performance-based revenues. Following the exceptionally strong prior corresponding period, they were down $160 million to $79 million. We encourage you to look at the annual averages as a proportion of stabilized third-party AUM. Our total portfolio stood at $87.4 billion at the end of December. Of this, $75 billion was in external assets under management. And of that, stabilized third-party AUM averaged $69 billion in the period. That's up over $4 billion from the prior corresponding half year. As a result, base management income was $26 million higher on a constant currency basis. Total fee revenue for the period as a percentage of average stabilized third-party AUM was just over 0.9% this half, which is broadly in line with our expected average over the long term. In terms of the outlook for this segment, we expect our third-party stabilized AUM to grow over time as we complete more developments and make new acquisitions net of divestments and the value of the portfolio grows. Our realized development earnings for the half year were down $36 million on the pcp. FX rates had a $26 million adverse impact. So aside from that, the result was largely in line with the prior period. Several things are moving around, but we're managing activity to maintain our profit and return targets. On the one hand, development volumes have been lower. The average annualized production rate was around $6.3 billion this half compared to $6.6 billion in the pcp. At the same time, a larger portion of activity has been initiated directly on the group's balance sheet. That means a greater portion of the development gains can be reflected in our operating results rather than a share of revaluation gains. Yields on costs on the new projects are also increasing. This is commensurate with the longer-dated periods to stabilization of data centers. Moving forward, we'll be progressing more data center developments and are now on what should be an upward trend in activity levels. These projects will, on average, be in WIP longer than our historic projects, so the impact on production rate will not be linear, but should still be positive. The pause we took also means that there is a resynchronization happening that is resulting in a lower volume of completions in the short term. All other things equal, this should correct over time. Given the increased project duration and the leasing time frames, we also expect higher-than-average margins to compensate. At the same time, we expect to continue to originate a significant volume of work on the group's balance sheet. So we'll have the opportunity to crystallize a greater portion of the gains in operating profit. The expected yield on cost in our WIP has increased to over 8%, which is now more than 70% data centers. These estimates are based on our current expectation of commencing data center projects on a fully fitted basis. These projects are largely uncommitted from a lease perspective. So the expected yields are forward projections based on the fit-out funding and commensurate lease type. The current level of pre-leasing is reflective of the stage we are at in the data center expansion and the long lead times to completion. It also reflects the group's desire to optimize the timing of contracting with prospective customers. We are compensating for this by retaining low financial leverage. We did, however, have $2.5 billion of developments completed this half, 87% of which are already leased. Demand from logistics users for quality buildings in strong locations is also picking up, which we expect to start to contribute to growth in WIP in the future years. The diversion to data centers as a better use of our sites is, however, occupying a greater portion of our opportunity set now and expect it to continue to do so in the near future. So over the course of the full year, rising activity level is expected to result in an increase in income from this segment on a sequential half-over-half basis. We remain enthusiastic about the prospects for development demand overall, which bodes well for future revenue as well as growth in AUM. There's been a moderate increase in our underlying operating expenses but that was offset by a higher capitalization due to the rising activity levels on balance sheet. Capitalized costs are part of the cost basis of the assets when we calculate our operating profit. There was also a slight FX benefit. Net interest income increased by $63 million compared to the pcp. Gross interest paid on our loans was $14 million higher due to rising interest rates and the impact of the refinancing of our bonds, which resulted in a slightly higher WACD than the pcp. There were, however, a range of other items that more than offset this. There was a $33 million benefit on the FX hedge to earnings that I mentioned earlier. We also earned $48 million more interest on the cash and derivatives due to the higher interest rates and cash holdings. Our directly owned development assets have increased, so capitalized interest is up by $31 million. The cost of borrowings on our loans is currently around 4%. But considering our interest rate and currency hedges, the net WACD is around 1%. As far as the nonoperating items are concerned, we had over $250 million of unrealized valuation gains in the half, which represents the group's share of around $900 million of gains across the entire portfolio at the 100% share. That's before the $335 million deduction for the now realized prior period valuation gains. We treated these the same way as previous periods, so I don't propose to repeat that methodology here because I think everyone's across it by now. So after the deduction for the prior period gains, and accrued costs, the net result is a deduction from profits of $112 million, which is what you see in the table that reconciles to OPAT. The weighted average cap rate is currently 5.03% on the stabilized assets in the portfolio, and we are very comfortable with that. Another customary area of difference between operating and statutory profit is the fair value movement of hedges. The currency strength in December gave rise to a $150 million increase in the value of our FX hedges but you can see a $325 million decrease in the FCTR. More than offsetting this was a decline in the value of our interest rate hedges, which came about because we have a large volume of fixed receiver swaps to partly fix the income on cash deposits and FX hedges. That's why we end up with a net loss of $48 million in the reconciling table. As usual, we exclude the LTIP accounting costs, but we include the tested units in the denominator when calculating our operating EPS. That's when they actually impact on securityholders. A few remarks now regarding the balance sheet on Slide 19. Wholly owned stabilized assets have decreased since June 2025 for the reasons discussed earlier. On the other hand, even after accounting for the debt funding portion of the acquisitions by the partnerships, our share of the stabilized assets within them were up on a constant currency basis. Compared to June, our development holdings are up from $5.6 billion to $6.5 billion, which represents our share of the developments in partnerships as well as the wholly owned properties. This is consistent with the higher capital intensity of the new projects as well as the higher portion originated on the balance sheet. The directly owned portion was up by around $100 million to $4.2 billion. This was a result of $200 million of net investment, partly offset by the FX translation. This incorporates the impact of the movement of some of the European data center properties from the group to the new development JV but also demonstrates the amount of investment we're undertaking on the balance sheet. The share of development capital in partnerships was up by $1.4 billion to -- from $1.4 billion, sorry, to $2.2 billion, which was largely influenced by the European DC development JV formation. This is progressing as expected at the time we raised equity last year. Our aim continues to be to initiate more projects to give us an opportunity to have meaningful discussions with both customers and investors alike. We aim to continue to bring partners into the developments at the appropriate time to manage risk, capital and returns. Just looking at the other major movements now. Overall, we generated around $1.2 billion of cash-backed earnings through our operations this half. Nearly $600 million of this is reported through the statutory operating cash flow statement, which is up by around $200 million from the pcp. As usual, however, the statutory statement of operating cash flow includes outflows associated with the expenditures on development inventories. A portion of these of our earnings also arise from transactions that are included in the investing cash flow for statutory reporting purposes. That's either because they are in our investment property under development and not in inventory or they were sold from within our partnerships. This is not unusual for us either. So the combined effect of these development activities accounts for over $200 million of the difference between operating cash flow and operating profit. There's always a difference between the timing of distributions and fees received and income or expenses recognized in the partnerships, and that was around $100 million this half. Capitalized costs and other working capital movements created another $100 million difference. And the usual impact of the incentive payments was $200 million. Over the full year, timing difference can be smoothed out but the issue of the investment back into the business is symptomatic of a growing enterprise. The classification of certain transactions in investing cash flows is also a source of permanent differences. Our retained earnings are designed to contribute to funding such investments, which is consistent with the design of our long-term capital management plans and the distribution policy. That's a good point. Turn to Slide 20. Gearing is 4.1%, which is slightly lower than it was in June, and we have $5.2 billion of liquidity, including cash and undrawn lines. That's after we funded acquisitions and CapEx, and we repaid EUR 300 million on the maturity of one of our corporate bonds. As we said before, we'll operate our gearing within a range of 0% to 25% with the level to be set with reference to the mix of earnings and activity. We're very comfortable with where we stand at this time. In fact, we have capacity to increase gearing and remain within the bounds of our FRM policy objectives. This is consistent with the strategy we laid out a year ago, with the aim to build out more data centers and fund the growth whilst maintaining a strong balance sheet. As we continue to partner with investors, it will enable us to recycle capital to bring forward development capacity more rapidly. Over time, we expect to hover around the midpoint of the gearing range once we get further into the data center construction activity. That's all for me. Thanks, Greg.
Gregory Goodman: Thanks, Nick. Demand for digital infrastructure in our markets is expected to materially exceed supply over the foreseeable future. Goodman has a significant opportunity to develop into this demand. given our metropolitan sites in the supply-constrained markets, our power bank and our very strong capital position. The scale and location of our powered land bank is rare. Construction-ready powered sites take many years to acquire plan, secure power, undertake infrastructure works and ultimately deliver. We're putting the infrastructure in place to carry out our program over the next 10 years. Also on the logistics side, we're moving forward with larger deployments for customers as they consolidate and invest in robotics and automation to enhance their productivity. The remainder of FY '26 will see us growing work in progress, supported by Goodman's strong balance sheet and our capital partners and the right structures and opportunities to actively rotate our capital. And in closing, now I'd like to confirm our target to deliver operating EPS growth of 9% for FY '26. Thank you, and Nick and I can now take some questions.
Operator: [Operator Instructions] And our first question comes from Lauren Berry with Morgan Stanley.
Simon Chan: It's actually Simon Channy. I used dial-in code. First question is just for a bit of housekeeping. At the half year, I think, Vrondas, you alluded to this, I think you were thinking about a 40-60 split of EPS for this year. In your prepared remarks, you talked about how you just got some early timing of development performance income in the first half. Does that mean the 40-60 split is out the window now? Or should we still assume a 40-60 split notwithstanding the $1.2 billion you delivered in the first half?
Nick Vrondas: So Channy, so the full year target is still the same number but some has come forward. So yes, 40-60 is now not 40-60, but the end target is unchanged. I hope that's clear.
Simon Chan: Yes. Okay. That's good. How much of that early recognition or early timing was to do with the establishment of the European JV? Or has -- or will all the profit for European JV come through in the second half?
Nick Vrondas: Look, it's a little bit because we had some fee revenue that we would have earned from the beginning. So there was a little bit of catch-up with the closing of part of the transaction, but it hasn't all come through yet. But remember, I mean, that was all in the guidance. We discussed that in August or maybe in September, I can't remember. So yes, there was a little bit of that, but there were other items as well.
Simon Chan: Yes, fair enough. Can you guys walk me through your program of works now going forward? So I guess, 3 parts of my question. One, how much of that 497 megawatts on Slide 14 is actually WIP at the moment and how much of it isn't? And then going forward, say, over the next 12, 18 months, should we expect potentially more establishment of data center development JVs as you activate more of pipeline? Or is it, no, no, we've got the partnerships we need, put the queue back in the rack and it's just more about building? Like how should we think about your program of works?
Gregory Goodman: Yes. First one is easy one, around 370 Yes, that's in WIP.
Simon Chan: 370 of the 497?
Gregory Goodman: Yes, that's about $10 billion of $14.4 billion. It goes to about $18 billion in June. And so there's a pickup in regard to, obviously, about another 100 or so coming in. And that's primarily around the starts in Europe. But we've activated about [ 1.82 megawatts ] of 1,926 megawatts in total, so you've activated those sites. So there's another 1,332 megawatts on that slide. which is important to note because that's obviously the pipeline that will be coming through in other years as we start these other programs. Yes, exactly. So we're going to $18 billion in June, and that's not being heroic on industrial. And on the industrial side, first time I've seen billion-dollar buildings, and we'll be doing some big industrial projects all around automation and robotics. And we're talking 100,000 meters plus sort of buildings with very, very extensive robotics and operations inside them, which is then a consolidation of a number of sites into single sites, and that's happening pretty well in all locations around the world. So don't underestimate as well the industrial pickup. And I think that's running at about $4 billion of work in progress at the moment out of the $14 billion. That could be a surprise on the upside as we go into late '26 into '27. Now the second question, which I've -- could you just repeat that?
Simon Chan: Program of works. You've done a lot of partnerships already, Japan, Europe, you reckon you'll get Australia done. But is that it? Or as you roll out the rest of your pipeline, you will be seeking to establish one of these new partnerships every 18 months, et cetera. Is that how we should think about?
Gregory Goodman: Yes, we're good. We're good at the moment. And moving forward, there will be long-term holding structures rather than development partnerships. There'll be transfers. Work in progress will go into assets under management, I think, as Nick was talking about. So if you sort of think there's $20 billion of work in progress running through to the end of the year, a lot of that as keepers for us because of the locational quality of it. Those over time we'll roll into longer-term holding partnerships and things like that. So yes, it's been the same, Nick reminded me the other day for 30 years. I had 20, but he reminded me of my age. And we'll effectively be continuing the same thing we've done and making sure though we've got the capital and the strength of the balance sheet around the world because one thing you need when you're developing the size and scale of what we're doing globally, you need a lot of money, right? So we're very conscious of that. We went ahead of it. We want to stay ahead of it. We will stay ahead of it. And that is one of our competitive advantages, particularly in the data center sector, where Goodman has been and is very good at partnering capital around the world and the biggest capital partners in the world. That is extremely important for our program and our strategy over the next 5 to 10 years. And I wouldn't underestimate that, and it's going to get harder, not easier for people.
Simon Chan: My last question is just on our customers. You got any got any update for us on that one. I guess the reason for the question is it's actually more question to add. Have you guys taken a view internally on AI. You're talking to a lot of customers but then I guess you also know that some AI proponents may be more successful than others. And I guess the quality of the counterparty is very important given you're in the long-duration asset class. So what I guess what's your view on AI internally?
Gregory Goodman: Look, the first point is the big customer negotiations and the big volume sites, it's all hyperscalers, right? So I think that's made that very, very clear. And yes, we're adopting the AI products that are relevant to our business. It's going to drive productivity. And this is a 10-year year game, and it's changing the world. And that's just a fact, right? Now whether it all goes in a linear fashion, and it grows at the same rate. I think that's all very, very debatable. But it's a revolution and an evolution all around the world, and we're all adopting it, some has different paces, but yes, we're adopting it.
Operator: Our next question comes from Cody Shield with UBS.
Cody Shield: Maybe just to expand on one of Channy's questions here around the partnerships. So if you're set, just with respect to Vernon, how are you thinking about that asset and an approach that you'll take there?
Gregory Goodman: I'll talk about that a bit later. We are pretty deep in discussions about that at the moment. So we'll leave that for a couple of months.
Cody Shield: Okay, sure. Maybe just turning to the Australian DC partnership. Would this only include assets currently in development? Or would you looking to have a combination of existing developments and other sites with approvals and power and so on?
Gregory Goodman: The one we're doing at the moment is Tyman, which is already started.
Cody Shield: Okay. Sure. And it would just be Tyman, it wouldn't be any of the other thoughts around Sydney?
Gregory Goodman: No. Look, we're dealing with partnerships on reality. So if you sort of map what we did in Europe, we spent a number of years getting all the sites ready. We brought in a partner as we were going vertical, right? So there's no delay in regard to starting them. We're starting them. We bring in the capital. We're ready to start. So we're not waiting 6 months and saying maybe what if. Capital comes in, we're starting and then the clock is ticking on the return. Yes, so short enough, do it. Same approach for the customer. It's being built. We're now in discussion with the customers because we can give them a delivery date of '28 or whatever the day might be for the first data hall. That's the way we're running it.
Cody Shield: Okay. Great. That's clear. Maybe just a last one on -- sounding like Tokyo, one of those multibuilding campuses, how would something like that progress? I mean I imagine once you do the preparatory work the second and third building come along a bit quicker than the first. Is that right? Like what would the time line of something like that look like?
Gregory Goodman: We'll wait and see, but we're right into our big gig site up there at the moment. It is great side, not a lot of power in Tokyo. This is the biggest one in Tokyo and yes, good demand.
Operator: Our next question comes from Mithun Rathakrishnan with CLSA.
James Druce: Yes. Greg, you might have James Druce here. And can we -- just on the 0.5 gigawatts that were sort of starting before June, can we just talk to the construction contracts? They've all been locked down now. Have they -- what's the remaining to do there?
Gregory Goodman: What's remaining to do there? Well, yes, there's a lot of contracts. You're talking billions and billions of dollars. Some have been locked down, some have been started, and some are just in the final pieces of negotiation, right? So no, we've got contractors. We're down to signing contracts and moving on with the prices locked in.
James Druce: Okay. And is there -- I mean the data center industry is going to be more complex in terms of development. How do we think about the right time now to actually bring in a tenant? Is it as fast as possible? Or do you want to kind of get all your ducks lined up, get all the MEP equipment done? Or how do you think about sort of the right timing for that?
Gregory Goodman: Yes. Look, it's iterative. It's different on different sites depending on the demand signals. So you play a site maybe in Amsterdam differently than you'll play a site in the U.S. where there might be more supply. So it depends on where you are, right? But you need to be building to a design where you've got flexibility. You need to be building to a design, you can build into the demand so you can shorten up the delivery period. So if people are placing orders for '28, you've got to be able to deliver in '28. If you want to deliver in '29, well, you better wait 12 months and then you're probably taking a deal in '29. So build into it, get your essential infrastructure out of the way, make sure you got your buildings coming out around the slabs and sticks are going up effectively and you're building to a design or a program, which is flexible. Now on some sites right now, as we're starting to build, we are having the negotiations, and we are actually designing it to those customers. And there's some AI inferencing in some of these now where you've got waterloops and then you've also got air. So we're sticking to it right now, but it will depend on where you are and what you're doing in the different countries and the demand signals. So there's no one shoe fits all feet. Some feet are bigger than others.
James Druce: Can we just talk to -- I mean on Slide 15, it shows the Japan partnership there for the 1 gigawatt. I mean we sort of known the thing there. But I mean, how does that kind of roll out in terms of fundraising for GJCP. And how much of that is actually covered today?
Gregory Goodman: Look, it goes building by building. We've got approvals for our first phases. We're doing from the partnership, the partnership then we'll have assets. Those assets as they're stabilized, we'll be in more of a stabilized Goodman partnership. And that's exactly what we've been doing in Chiba, same MO, right? So look for the same approach. In Japan, we've been doing this for a while. I think the team there is very good at this, and we've been doing -- I think we're just finishing our fourth data center in Chiba right at the moment, quite frankly. They are all '50s and rolls off quickly, but 50s are big, right? Just to be clear.
Operator: Our next question comes from Adam Calvetti with Bank of America.
Adam Calvetti: Greg and team, I mean is there a timing into the 5 additional ones that you're going to be commencing in the second half? I mean what type of fully fitted data center are there? You've got 3 types, whether it's run by the customer, yourself or an operating partner. Where are these ones going to land?
Gregory Goodman: Most of them are fully fitted to a mechanical, electrical and plumbing, the MEP program, that's primarily it. But we'll be operating some. A lot will be self-operated by hyperscalers. And there might be a colo where we may be doing a joint venture as well. So yes, there's going to -- we'll hit all those boxes, I think. Then there's some shells that are probably popping in the second half, we don't have on the page, where we're going to deliver some shells to some hyperscalers as well. So you're going to see the whole topography across the board. And it's really important to emphasize that I think we have been doing for a while, but I'll just reemphasize it again today, our competitive advantage at Goodman is around the infrastructure, right? We don't desire to operate everything in the world, and we won't be. There's a number of hyperscalers that want to operate their own facilities, and we're very happy about that. We want to build them world-class infrastructure that then fits for us for a long-term investment, which is also we've got to be very clear. We're building to own and bring investors in. So we need something at the end of the day that actually is saleable and investable, right? So white elephants, that's not what we're about. And I think you might find that's a discipline that Goodman brings to the long-term ownership that may be very critical as we move forward over the next 10 years with so much capital required for the sector around the world and the rotation of capital, you can only rotate it if you got something investable at the end. So a big discipline on that.
Adam Calvetti: Okay. That's very clear. And then, I mean, the power banks increased about 1 gigawatts split between Australia and Europe. Can you just comment maybe on how you're seeing demand in those 2 markets and returns?
Gregory Goodman: Returns in Europe are very good. They're in line, I think, with what Nick is talking about. And Europe is short of infrastructure in those major markets we're in. So we're building into a very, very strong demand market. But the discipline around building them and getting the buildings up in the air, we are very well equipped because we've got a very, very good development team around infrastructure in Europe. And where you're going to get caught or stuck is getting out of the ground, right? Once you get out of the ground and you got your orders in for all your equipment, it's then a program and we're very good at running programs. We're very good at building basically complex pieces of infrastructure, and we'll be building multistory buildings around the world for highly automated buildings, big customers of 120,000, 130,000, 150,000 meters, right? We've got disciplines internally at Goodman around building these things, which is world-class, and that is one of our competitive advantages.
Adam Calvetti: Greg, maybe just to focus in on Australia with 0.6 gigawatts of increase there. I mean I've been hearing that hyperscaler rents in Melbourne have stagnated. How are you seeing the Australian market?
Gregory Goodman: All right. Look, I think let's just see what's real and what's not firstly. There's a lot of promises but let's look at the deliveries. So we're focused now, for example, in Melbourne on '28 deliveries, right? So let's work that through. And I think you'll find there's good demand in Australia, but we're going to be sensible about how big that demand is relative to the U.S., which is 70% plus of the global market, right? So we're building into places like Japan, we're building into places like Europe, where there's big demand signals and we'll -- we've got some great sites in Sydney, Western Sydney, Melbourne effectively and North Sydney. So we're in the best locations. And let's just see where we end up. Yes, because we're playing globally, we've got a lot of options and optionality to push U.S. a little harder, Europe a little harder, back off in some other markets if we think there's a supply issue. But even in Australia, honestly, the infrastructure and the timing is still difficult. And it is difficult everywhere in the world at the moment.
Operator: Our next question comes from Ben Brayshaw with Barrenjoey.
Benjamin Brayshaw: Could you just talk about Stage 1 in respect to 2 things, please, when you expect the project to reach practical completion and be able to generate income. And secondly, the strategy for the leasing, is the intent to lease all of the capacity to one hyperscaler. Would you expect it to be multi-tenanted as in 2 or 3 or more tenants?
Gregory Goodman: Yes. Good question. 2028, we'll be delivering the first power available. And I suspect being a 5-story building, very complex, it will be multi-tenanted. That's my view. But that's not to say we don't have demand for whole buildings over a series of time or a series of years. Bear in mind Macquarie Park is becoming difficult. Most developments on the North Shore are either not occurring or delayed, right? So to have something coming out of the ground, which we do now, we're having serious conversations, but we're very happy to manage and operate it over multi-floors, but we're also happy to do a whole building deal depending on the economics and the deal we do.
Benjamin Brayshaw: And perhaps it's a question for Nick. Could you provide some color on how many sites have been sold down into the European partnership to deliver the forecast revenue for the vehicle? And how many are remaining on the balance sheet to be transferred? And will that transaction happen in the second half? Or will it be phased over time?
Nick Vrondas: Yes. So the ones that have gone in already were the Frankfurt and Amsterdam properties. And the 2 Paris properties will go in, in this half. So that's all that's contracted at this stage.
Benjamin Brayshaw: And just finally, in relation to Stage 1, the site, has the ownership transferred to the balance sheet from out of the partnership? And will the establishment of it has -- would the establishment of a partnership to potentially give rise to a trading profit or an uplift on the carrying value when that is settled?
Gregory Goodman: I don't think we're commenting on that, but yes, it has transferred and partners will come into the 50%, I suspect that Google, I think, is the plan and partners will come in to the other 50%. But yes, I don't think we'll make any comments on uplifts or anything like that.
Nick Vrondas: No. I mean it's not that big either. It won't be much of a needle mover.
Operator: Our next question comes from Richard Jones with JPMorgan.
Richard Jones: Just following up on Ben's question. Is it fair to assume that the bulk of the land value uplift in Europe across, frankly, Amsterdam has been booked and the 2 Paris project uplift will come in the second half, Nick?
Nick Vrondas: Look, we're not commenting specifically, but yes, generally, that is a fair estimate, yes.
Richard Jones: And Greg, just interested in your comments about automation and robotics and industrial projects. Are you looking at funding that for the tenant as well?
Gregory Goodman: No. No. I think the same approach as we've taken with a lot of the big sheds we've taken. But once you go gate-to-gate, the $1 billion investments but the buildings and the land and where it's sitting, we would be in $600 million, $700 million, and then there is the fit-out components that might be anywhere between $100 million to $500 million in, it's all going robotics. Warehouses in Slide 5, you won't have anyone in them effectively. And some of our big customers are already planning on that, right? So when they pull the trigger on full robotics, warehouses, probably not today, but they've got the technology now to do it, and that's the way it's heading. Most of our big warehouses, we need 6, 7, 8 megawatts of power. So that's the same power discipline using the data centers actually we're using also and have been using around big industrial buildings. So when I talk about essential infrastructure and the ability to get these things powered up and plan them, the discipline around both actually is very, very linear and very parallel and that's why Goodman as an operator of the sand and development in the sector, there's some big competitive advantages we've got around infrastructure because we've been doing that infrastructure for many, many, many years. So I think we're in a really, really good spot to do both and effectively don't underestimate, as I said before, some of the work in progress on industrial because they are getting bigger. And there are 6 buildings going into 1, and that is going to drive productivity and will drive costs out of business over the long term, and they are big customers with big budgets.
Richard Jones: And can you clarify what the returns look like on those big industrial projects?
Gregory Goodman: Yes, they're good. So you look at our averages, I think we're throwing out between anywhere between 7s and 9s, it's in there somewhere.
Richard Jones: I have one more. A quick one, one more quick one for Nick. Just what would be the capital commitment from a CapEx perspective you'd anticipate for the balance sheet in the second half?
Nick Vrondas: I don't have that number at my fingertips. And about $0.5 billion, I think, is broadly where I think it's at but that's based on the kind of current projects. That's excluding sort of any acquisition -- new acquisitions or anything that hasn't been sort of identified yet. That's just what's in the pipeline.
Operator: Our next question comes from Callum Bramah with Macquarie.
Callum Bramah: Apologies if I've missed it somewhere in the announcement, et cetera. But I just wondered, as I understood it, the 2 near-term completions for the data centers with LAX01 and then Hong Kong, I just wanted to know about the customer commitments on those. And if you could give us an update on progress and when we should expect that to be completed?
Gregory Goodman: LAX01 is not on completions, yes. And what else do we have in completions? It's just popping in this month.
Nick Vrondas: It's mainly industrial items in the completion. So none of the data centers ones were in the completion.
Gregory Goodman: The next one to complete is in Chiba, which will be shortly.
Callum Bramah: Apologies, I might have asked clearly, but just in relation to the data center projects, when are you expecting to get a customer commitment for L.A. and so I think, was it Hong Kong 9? Are the 2 that are kind of nearer term in completions that are going out?
Gregory Goodman: The Hong Kong, 2 months. Yes. So Texaco, we're going fully fitted, so it's going to be a while away yet. That's the plan. And the other one in Hong Kong is already committed. In regard to LAX, we're in discussions at the moment. Bear in mind, we have our first power bank available sort of running towards the end of this year. So we're in good shape on that one. And our view on that, that's a multi-customer building and a full operational building, right? So that will fill up over a period of time as we deliver the program on that one. But look, there'll be more about that in the next month or 2.
Callum Bramah: Okay. And that's on track for powered shell completions still in June?
Gregory Goodman: No. We're going to actually have our first data already by -- before the end of the year, right? So we're building full mechanical, electrical and plumbing outcome there.
Nick Vrondas: The shell -- I think you got to distinguish between the shell and the fit-out. So yes, on the shell, but we're moving them through to the fit-out of the MEP and having progressive available ready for service for the data halls, which will happen, as Greg said, progressively from the second half.
Callum Bramah: And I think maybe based on prior conversations, there was an expectation of maybe getting customer commitments 12 to 18 months in advance. Is there a change in that because of the market dynamic or a strategy or a tactical play for Goodman? Are you able to just give us a bit of color about timing on those customer commitments?
Gregory Goodman: Yes, yes. It is topography, right? So the LAX01 is going to be multi-customer. You're talking anywhere between probably 1 meg to 10 meg. So we're talking to a customer at the moment that's the higher number. They might take the first bid to power. We got -- it's an operating asset. So that's very different to doing 100 megawatts or 200 in a different location where the customer will want to go earlier. The one in LAX is ready for service and you're leasing it as you go. Time is going to be very, very similar to that as an operating asset will lease it as we go. And there will be some other assets that are going to be effectively pre-committed. We might be starting some earthworks, there might be some transformers and things like that. But there's some big ones we're actually working on at the moment, which are effectively we're designing for those customers. Even though we might have started a few of the earthworks and getting it ready yes. So you'll see both of those types of deals being done, depending on where they are and what they are.
Callum Bramah: And if I can just push my luck with one more. Just in relation to the Paris assets going in, which based, I think, on your earlier comments, Nick have yet to go in. Can you just clarify the drivers of the timing of when they go in and maybe what your current expectations are?
Nick Vrondas: Yes. So you might recall there were CPs that related to local municipalities in the main that was the main reason the municipalities have pre-emptive rights. And so there's just a regulatory notice period, Q&A, so they can understand the basis of the terms, and then they notify you. So on one of them, we have subsequently been notified. And so the settlement of that, the process for the settlement of the first one has -- is about to be initiated so that will close within the next month. And then the second one is very, very close behind. So yes, expect well and truly before the end of June to have closed those 2.
Callum Bramah: And is that across the entire project site or just the first data center, if you like, of the campus?
Nick Vrondas: No, the whole thing.
Operator: Our next question comes from Tom Bodor with Jarden.
Tom Bodor: Just picking up from one of the comments you made about Callum's question, where you do have multi-tenanted facilities such as L.A.? What do you assume for a time frame to stabilization post completion? And where do you see stabilization from an occupancy perspective?
Gregory Goodman: Something like that, you could knock that off in a couple of years effectively on the -- as you build it through. So there will be another 12 months in building out the MEP and during that time, I expect you've got most of it done and then there might be the tail at the end. But yes, over a couple of year period would be more than enough time unless you let it to one customer, of course, and then it will take a pragmatic approach to it and take maybe floor by floor over a period of time as they require it.
Tom Bodor: So when you pick PC, what's your sort of broader working assumption for these multi-tenant facilities in terms of occupancy and what time frame post-PC do you sort of say it getting to fully let?
Gregory Goodman: Look, I think within 12 months, you'd be you'd be aiming for, but you're going to get -- you're delivering the floor by floor, right? So I think LAX01, we got 6 meg, I think 6 megs available. Shortly, right, so we can deliver that and then just move through it in a pragmatic way. So you're spending capital as you go. It's not all spent at that point and you keep spending it on the way through as you need to do that.
Tom Bodor: Yes. That's clear. Just a final one for me. There's obviously a huge amount of capital required to develop these facilities as you've highlighted. So a long away, but how do you think about pricing and capital demand for core data centers? Do you think there will be an ultimate takeout at the end? Or do you think a lot of your partners just want to develop the core and sit into the partnerships long term?
Gregory Goodman: They're all approaching it differently depending on their view returns, development returns are obviously a lot higher. So there'll be partners that want to click the development returns and move through. Then there's the whole scenario whether a platform value is more -- is worth more than the sum of the parts, which I've got a bit of a view on, which I won't share here, but I think you'll find that, that's starting to play out as well at the moment. So there's a number of different combinations. We're super focused on making sure we've got something at the end that people want to be in, and it's going to have a good growth profile, and it's a good piece of infrastructure investment. And that's why you won't see us owning and holding assets in faraway locations. We're going to be bull's-eye. I think they call it eyeballs, some of the eyeball locations, some of our U.S. friends effectively. So we want to be where we've got flexibility around the buildings, great locations, low latency type facilities that we think over the next 10 years are going to be the best for residual value and for terminal value.
Operator: Our next question comes from [ Claire McHugh with Green Street ].
Unknown Analyst: So just to ask more big picture, given this is a 10-year and beyond story, as you strategize internally regarding, say, music stops or a true bear-case scenario, it's everyone's paradox type events, et cetera, how are you positioning the brownfield data center pipeline? Like what would be the next best alternative use for the land? And how does that profitability profile compare?
Gregory Goodman: Yes. The good question. The sites are in industrial sites. So for example, we're in planning in Melbourne, Western Sydney, they're industrial sites at industrial loan values. So if, for example, demand wasn't strong enough, we'd flip it around and build a good to oil shed that might be in demand. So we do have flexibility. We're not over our skis in paying big, big prices to land around the world for data centers and there's no options. We do have optionality around everything we're doing because in the main, the 6 gigawatts of sites and to be clear, we're working on double that as a global portfolio, but the 6 we put on the page, which is in secured and advanced, we own it. And where we have bought it, in the last 12 months, we bought the land and then we've grabbed the power cable, right? So we're not lifting the cost basis on these things to the point where we don't have an alternative use in the main. So that's the off ramp. The other off ramp is, to be quite frank, is capital and that's called equity. The amount of leverage that's being raised around the world is all good until you can't get it. So we're making sure we've just got a lot of equity, what we're doing sensible. We're doing it with some of the biggest partners in the world and we can build through for customers even if the debt climates and things change. What our big customers want to know is that can you build it, can you deliver it and can do it in a way where we're going to get a high-quality product and there's not a financial issue on the way through? Now we've all been around or certainly here a fairly long time, and we know things change. We know capital markets change. We know debt markets change, right? So we're building something that's sustainable, resilient and we can deliver for our customers and we can deliver over a long period of time. So yes, be very pragmatic, sensible about what we do. But what we can do, we can do it in volume, and we can do it globally and that is tremendously attractive to our customers.
Unknown Analyst: That's helpful. I would have thought resi might be in there on some of them, but yes, I appreciate industrial's bread and butter. Just another one on the economics of the European partnership. So I appreciate there's a stage path to recognizing development profit and profit share. But just focusing on the land uplift that would have been achieved, is it still fair to think about data center land values at around sort of the $4 million a megawatt of critical IT capacity or sort of that 3x to 4x comparable industrial land based on this deal. Are you seeing values edge higher given the depth of demand?
Gregory Goodman: Generally speaking, I won't talk about the land values on this deal because I think people try and run comparatives. And quite frankly, we've looked at a lot of land deals and they're at a certain price, but they actually don't have power even though they do have power. So I think it's the big, big differential so I'd be very careful about quoting land rates and things that have been selling, very different if it's shovel-ready and you can go vertical with your slab and your sticks and you can go up as opposed to something that might be right and it's a very, very, very big difference. But I've got to say generally, power infrastructure is costing more money. It is taking more time and. Affectively, you could expect that the cost of these things is going up, not down. And that applies to land as well. So the infrastructure, the basic infrastructure around the grids around the world is it's getting limit long in many, many places. So everything is costing more money around the infrastructure. And the other point is if you look at the demand that's required globally, I don't think we've got enough production. We don't have enough infrastructure to even supply that ambition. And I think that is a concern that's been voiced by a number of big customers around the world or proponents of AI platforms. But very hard to compare land values because they're all at very, very different stage of readiness, put it that way.
Unknown Analyst: Yes, no worries. So this was more around land value of power, ready-to-build land. And it just really stems from, obviously, when we're underwriting the value of Goodman, a lot of the value stems in the value creation from the data center pipeline, which where there's land value, which is transactional, but also intrinsic value or platform value. So I'm just trying to sense check how we're evaluating the value of the land.
Gregory Goodman: Yes, I understand. So we're not going to help you too much today, sorry.
Operator: Our next question comes from David Grace with Evidentia Group.
David Grace: Greg, you've got work in progress of $14.4 billion heading for $18 billion. Current yield on cost of 8.1% and just interested where you see yield on cost trend into as you continue to add long-duration projects to the pipeline?
Gregory Goodman: Yes. Look, it moves up effectively. So I think it will be depending on how much industrial we do because that will be a little lower. But you can see it moving up from that 8.1%. I think the -- just on the commencements, I think that was through 9%. So yes, a little move up over time depending on that mix. But look, it's healthy. So I go back to the growth here on cost is one thing. The quality of what you're doing is another thing, right? And we are very conscious of the quality and the location because the billions and billions and billions you require and 6 gigawatts, so then ends up at $140 billion of end value on the sort of mix we're doing at the moment. You need a lot of money, right? So you need to be building stuff that you can partner and own that is a good investment. So our eyes on making sure that we have a residual value. We have a terminal value, we have an investment value that is going to hold up over time. So that means you need good sites, resilience, flexibility, all those things above, so you build some -- you build a piece of infrastructure that's not a 5 years run and done.
David Grace: Yes. So can I imply from that then that the $18 billion WIP should actually increase just given the nature of the long duration of these projects?
Gregory Goodman: Yes. Look, it will -- look, I don't think it's any surprise if it's $18 billion in June with the duration of the projects that it goes higher, it's going to go through $20 billion. I think that's how far through that will depend on how successful we are in regard to -- around the customer side a bit, I think. So we'd regulate it and monitor it but we've got to make sure and we have -- we've got the capital so think we can work through it. We're dealing with some of the biggest companies in the world, all the biggest companies in the world, not some off. So we've got to make sure that we've got sustainability, we've got resilience, we've got capital, and we can deliver over long-term time frames, multiple countries, multiple languages, but you're dealing with the same customers. So yes, it's going to be pretty interesting.
Operator: Our next question comes from Andrew MacFarlane with Bell Potter.
Andrew MacFarlane: Just a quick one for me. Just interested in terms of turnkeys and power shell, just how you're thinking about it, one versus the other? And I guess whether there's been any change as you've progressed through data centers in time? And I guess the second leg of that would be kind of what you're seeing in the little rate wise and yield on costs is that factoring in thinking of what product are you doing?
Gregory Goodman: Yes. Look, down this part of the world running up Asia Pac, just as a general comment. The customers are wanting a data center ready facilities. So that leads us into the MEP build outs and what have you. And pretty well most of the discussions, if not all, in Asia Pac around fit-outs. We're having the same conversation in the Hong Kong at the moment where we're doing a shell that will go through to a full build out. Japan is the same. And down in Australia will be the same. Europe because hyperscalers are doing less of their own builds. So they expect in Europe full build-out program. So everything we're looking at in Europe is a full build-out with MEP and delivering floor by floor effectively. So that's that. The U.S. is different because you've got a lot bigger build-out programs of the hyperscalers. It's the major -- majority of the market globally. And you'll see us with big shell programs but you'll also see us with operating buildings like the program we have in L.A., that's 150-meg gate-to-gate program, maybe up to 200-meg effectively that you'll see those potentially being all operating buildings because of that location and what we're doing. So you'll see more shells in the U.S. plus some operating. Europe will be very much operating MEP type facilities and down Australia, we'll be filling the buildings up with mechanical and electrical facilities for the customers. A lot of it's going to be heavy on infrastructure, yes.
Andrew MacFarlane: And sorry, Greg, are you seeing any change to hurdle rates or yield on cost returns?
Gregory Goodman: No. But we're very -- like I said, we're very disciplined in understanding that you don't survive in this industry unless you can deliver a good product for investors long term. You can't rotate your capital unless you do that. And then the Goodman investors for putting out the capital at Goodman Group needed to return on their capital. So unless you get that all right, the machine stops. So I think you can be fairly assured we're doing it with the appropriate margins to make sure that machine keeps on going. Otherwise, we don't have a rotation of capital and Goodman Group shareholders don't get a fair return.
Nick Vrondas: Andy, though, I mean, you would expect that if you're just looking at yield on cost on mark-to-market value of land, you would expect that something that's fully fitted would have to -- you'd have to compensate with a higher yield than something that's core shell. If you mark-to-market the value of the land like-for-like, theoretically, that is what you should expect, if that's the nature of your question.
Operator: Thank you. I would now like to turn the call back over to Greg Goodman for any closing remarks.
Gregory Goodman: Thank you very much, and good morning.
Operator: Thank you. This concludes the conference. Thank you for your participation. You may now disconnect.